Operator: Good day and thank you for standing by. Welcome to the Donaldson Third Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]  I would now like to hand the conference over to your speaker today, Mr. Charlie Brady, Director of Investor Relations. Thank you. Please go ahead sir.
Charlie Brady: Thanks. Good morning and thank you for joining Donaldson's Third Quarter 2021 Earnings Conference Call. With me today are, Tod Carpenter, Chairman, CEO and President; and Scott Robinson, Chief Financial Officer. This morning Tod and Scott will provide a summary of our third quarter performance, along with an update on key considerations for fiscal 2021. During today's call, we will reference non-GAAP metrics. A reconciliation of GAAP to non-GAAP metrics is provided within the schedules attached to this morning's press release. Finally, please keep in mind that any forward-looking statements made during this call, are subject to risks and uncertainties, which are described in our press release and SEC filings. With that I will now turn the call over to Tod Carpenter. Tod?
Tod Carpenter: Good morning everyone. I am very pleased with our third quarter results which exceeded our expectation and was the highest sales quarter in our company’s history. Third quarter highlights includes sales increased 22% year-over-year and 13% sequentially from second quarter, the largest second to third quarter increase in over ten years. Gross margin improved 50 basis points year-over-year and earnings per share grew 32%.  This could not have been accomplished with our dedicated Donaldson employees who come to work every day, whether at home or in the office to ensure we are meeting our goals and serving our customers. Thank you to all of our fellow teammates for the work you do.  Now let me provide some insights on our third quarter sales. Total company sales increased 22% in the third quarter from prior year, in local currency sales rose 17%. While we acknowledge this is a soft comparison to last year when the pandemic slowed things, we also note this result is 7% above the strong pre-pandemic third quarter of fiscal 2019. We are pleased with this level of growth and believe our momentum will continue.  Engine sales recorded strong year-over-year growth of 26%, 22% in local currency. Our 51% Off-Road business growth was widespread with all regions experiencing an increase in sales. In particular, local currency sales in Europe and Asia Pacific were up 78% and 42% respectively. China sales increased almost 50%.  Several factors give us confidence in the outlook for Off-Road. Global demand for construction and agriculture equipment remained high and mining is also seeing increased demand. PowerCore continues to gain traction in China and we are on track to deliver two times as many PowerCore air cleaners in 2021, compared to 2020 and our backlogs continued to build as we exited third quarter.  On-Road sales experienced a sharp rebound from the 1% year-over-year decline in second quarter increasing 58% from 2020. Order and bill rates for Class A trucks in the U.S. has risen significantly over the past few months and are projected by external payment sources to remain at a high level over the next several quarters.  In China, our On-Road sales more than doubled driven by increased heavy duty truck production and market share gain. With the favorable economic backdrop, our strong market position in North America and the significant opportunity to grow in China, we are optimistic on the outlook for our On-Road business.  Aftermarket sales increased 23% in third quarter, including a 4% currency benefit. Utilization rates for construction and agriculture equipment and heavy duty trucks remain at a high level, which is driving increased demand for replacement products.  In local currency sales, Latin America increased by over 40% and Europe and Asia Pacific were up 17% and 18% respectively. Aerospace and Defense continues to be pressured primarily due to a weak commercial aerospace market as a result of the COVID-19 pandemic. A bright spot in aerospace and defense is rotary aircraft, where sales increased due to previous program wins now coming online.  Looking at the Industrial segment, sales in third quarter increased 12% or 7% excluding the favorable impact of currency translation and growth was widespread across geographies. Industrial Filtration Solutions or IFS saw a significant sequential uptick in quoting activity for dust collection systems in third quarter. IFS benefited from increased sales of dust collection products on both a first-fit and replacement parts basis. This was a nice turnaround from the declines experienced in second quarter, which we believe was the trough. We had seamless business moves from the if it breaks, you fix it cycle through the if it breaks you replace it cycle and now moved to the investment and expansion cycle where we see increased purchases for new projects.  We also saw increased sales in first-fit and replacement products across the rest of the IFS businesses including greater than 50% growth at BOFA and mid-20s percentage growth in process filtration sales. These growth rates indicate to us that not only are we winning share in targeted growth areas, we are also retaining the replacement business, which should only increase as our installed base becomes larger.  Sales of Gas Turbine Systems or GTS declined about 13% year-over-year due to a decline in demand for gas turbines used in the oil and gas markets, a slowing of retrofit activity and the timing of projects.  Sales of special applications saw double-digit growth in integrated venting solutions and membranes which was partially offset by a high-single-digit decline in our disk drive business. These broad based positive company results give us increased confidence in our ability to have a strong finish to our fiscal 2021.  Finally, we believe supporting the communities in which our people live and work and where we do business is the right thing to do. Therefore, in third quarter, Donaldson contributed $1 million to support our local community and help rebuild areas in Minneapolis and St. Paul that were damaged from the unrest over the last year.  With that, I will now turn the call over to Scott. Scott? 
Scott Robinson: Good morning, everyone. Like Tod, I am also very pleased with our results in the third quarter, which were stronger than our expectations and as previously mentioned, the highest quarterly sales in the company’s history. I want to thank our employees for this remarkable accomplishment in light of the challenges faced.  Total sales increased 22% year-over-year and operating margin increased 90 basis points to 14.3%. As you have heard me say many times, we are committed to generating higher levels of profitability and higher sales and our third quarter results demonstrate our commitment to this even in the phase of pressures from higher raw material cost and supply chain disruptions.  As we entered the third quarter, we were building momentum and that continued through the end of the quarter given our incoming order rates and backlog levels, we expect this momentum should maintain through the end of fiscal 2021.  Now, let me get into our third quarter results in a bit more detail. Our Engine segment profitability increased 250 basis points year-over-year as we leveraged a significant uptick in sales. The Industrial segment in contrast recorded a 50 basis decline in profitability. This decline is the result of a business did in a mix within Industrial and weaker gross margins in GTS and disk drive products.  Third quarter company gross margin improved by 50 basis points to 33.7%, which accounted for a bit over half of the 90 basis point increase in operating margin. Raw material and freight cost inflational headwinds and the reversal from the sale that we experienced in the first half of the fiscal year.  Sales mix was also in favorable to gross margin, primarily as a result of strong Engine sales. However, we were able to offset the margin pressures with sales leverage and pricing. We continued to expect second half gross margin will be up year-over-year. However, the headwinds from higher raw material and freight cost are increasing from what we experienced in the third quarter.  Given the sharp increases in our raw material and freight cost, we are focused on pricing actions to mitigate the impact on our margins. We remain committed to managing our price cost relationship, particularly in an environment of strong demand for our products. We are also committed to controlling operating expenses.  In the third quarter, operating expenses as a percentage of sales declined 40 basis points year-over-year. This was driven by leverage on increased sales, partially offset by increased incentive compensation expense. Investing in our strategic priorities remains a focus for us. Our Advanced and Accelerate portfolio receives the largest amount of our investments and over time is expected to generate sales growth and higher margins and company average.  We are also excited about the growth opportunities with our first-fit engine businesses. These businesses tend to be more cyclical and command leadership positions in their markets. In the case of On-Road, Off-Road and defense, there are multi-year programs that provide a solid base of business to help grow our aftermarket sales.  We see opportunities for additional program wins and further penetrations in markets where we have a smaller share. One example is China where the market is large. There is an increasing willingness of OEMs to adopt the filtration technologies we provide and we are winning new programs. We have taken a disciplined approach to managing our business and opportunities by focusing on selected cost optimization projects and leveraging our global presence while continuing to invest in growth areas.  As the world recovers from the pandemic, we are in a great position to participate in the post-pandemic upswing, some of which is represented in our third quarter results. We made capital advances of approximately $10 million in the third quarter, a decline of over 60% from the third quarter of last year as we bring to completion many of our significant capital projects from the prior two years.  We paid over $26 million in dividends and repurchased over $32 million of our stock in the third quarter. Year-to-date, we have returned almost $116 million to shareholders. We have paid a dividend every quarter for the past 65 years and increased our dividend ever calendar year for the past 25 years making Donaldson among a small group of companies that are included in the active piece, high yield, dividend aristocrat index. Maintain this track record is important to us.  Our results in the third quarter of fiscal 2021 demonstrate that our focus on higher margins and higher sales is working. The results also underscores the diversification of our business model and then our long-term view adds value to the company and our shareholders. We have good sales momentum as we head toward the end of our fiscal year, which should carry through with the fiscal 2022.  As such, we are raising our fiscal 2021 sales and EPS guidance. With that, let me share our updated expectations for fiscal 2021. In the third quarter, we saw continued sales momentum in our Off-Road, On-Road and aftermarket engine businesses and an uptick in our Industrial Filtration Solutions business.  Given the strong results we experienced and our visibility into the remainder of fiscal year, we expect full year sales will be up 9% to 11% year-over-year versus our prior guidance of 5% to 8% increase. Our annual guidance assumes a full year 3% benefit from currency translations.  In our Engine segment, we project a sales increase of 12% to 14%, which is up from our prior guidance of an 8% to 11% increase. We project full year Off-Road sales will now increase in the mid-to-high 20% range, driven by continued strong demand for construction and agriculture equipment and increased order activity in mining. Our prior guidance was for a low 20% range growth.  In On-Road, we expect full year sales will increase in the mid-teens, compared to our prior guidance of low-teens. This increase is due to a stronger improvement in global heavy duty truck production rates. Our Engine aftermarket business have continued to see stronger than expected sales momentum, as global equipment utilization continues to improve.  We now believe sales will increase in the mid-teens compared to our prior guidance of high-single-digit increase. We believe utilization rates for construction and agriculture equipment, as well as On-Road trucks will remain at a high level through our fiscal year end. We continue to expect our full year sales of aerospace and defense to decline in the mid to high 20% range, given the pandemic-related stock conditions and commercial aerospace resulted in weak demand.  In the Industrial segment, we expect a full year sales increase of 3% to 5% versus our previous guidance of down 2% to up 2%. As Tod mentioned earlier, we are experiencing increased demand for our Industrial dust collection products, particularly replacement parts.  We have increased our outlook for IFS sales and now project sales growth in the mid-single-digit, compared to our previous expectation of flat sales. Quote and sales activity have increased more quickly than we previously forecasted.  GTS sales are expected to decline in the low-single-digit versus our prior expectation of a mid-single-digit increase. In special applications, we continue to anticipate a decline in the low-single-digits based on our year-to-date results and expected softness in the market for disk drive products.  Expanding our gross margin remains a key focus for us. We continue to work to reduce cost and drive operational efficiencies to leverage higher sales. In the near-term, however, increases in raw material prices and higher freight cost will pressure margins through fiscal 2021 and into at least the early part of fiscal 2022.  To offset some of the sharp increases in our input costs, we have selectively raised prices and may do so again. We know the value we bring to our customers and we will continue to demonstrate this value, the technology-led products and best-in-class service. We are expecting adjusted operating margin in a range of 13.8% to 14.2%, compared to 13.2% in 2020. The midpoint of this range implies a sequential step-up in operating margins to about 14.5% for the back half of the year, compared to 13.5% in the first half.  Additionally, we expect to maintain a disciplined approach to our operating expenses and deliver further leverage in the remainder of the year, despite an expected full year headwind of approximately $25 million from increased incentive compensation, about half of which was incurred in the third quarter. Other fiscal 2021 operating metric expectations are; interest expense of about $13 million, other income of $5 million to $7 million, and a tax rate between 24% and 25%. Capital expenditures are planned to be in the range of $55 million to $60 million.  Taking the midpoint of our sales on capital expenditure guidance for 2021 would put us at just over 2% of sales, which as we previously noted is lower in the last few years due to the completion of major projects. We also plan to repurchase 1.5% to 2% of our shares outstanding. Our cash conversion has been very good in the first nine months of fiscal 2021 and we expect to exceed 100% cash conversion for the full year. We will provide detailed guidance for fiscal 2022 with our fourth quarter earnings release, however, I did want to provide a framework to help with modeling.  The sales momentum we are currently experiencing is likely to carry through to the first half of fiscal 2022. We expect first half fiscal 2022 sales to account for a greater percentage of our full year sales, as compared to the first half of fiscal 2021. Looking at our fiscal 2022 gross margin, we expect the headwinds from higher raw material and freight cost to increase from what we’ve experienced in FY 2021, particularly in the first half of FY 2022. Our operating expenses for fiscal 2022 will have some pluses and minuses relative to fiscal 2021.  As we begin to operate on a more normal post-pandemic environment, we expect to see an increase in expenses related to; in person customer engagement costs including marketing and travel costs, as our sales and engineering employees return to on-site visits and attend trade shows; investment in our Donaldson employees, including training and development; and increased headcount to meet demand.  However, we should see an offset in reduced incentive compensation expense on a year-over-year basis as we reset our annual compensation plans. Our objectives for the remainder of this fiscal year and 2022 are unchanged.  We will continue to invest for growth and market share gains in our Advance and Accelerate portfolio including inorganic growth in life sciences, execute productivity initiatives and pricing actions that will strengthen gross margins, maintain control operating expenses, and protect our strong financial position through disciplined capital deployment and working capital management. As I finish my commentary, I wanted to acknowledge all the Donaldson employees globally for the outstanding work they have done and continue to do every day. Our second half started off strong and we have solid momentum to carry us through the end of fiscal 2021 and into fiscal 2022. I’ll now turn the call back to Tod. Tod?
Tod Carpenter : Thanks, Scott. Our third quarter results demonstrate the momentum we have in our business and the benefits of having a diversified portfolio. We continue to maintain a disciplined long-term focus on our strategy.  To remind you, our strategic priorities remain unchanged and we are focused on expanding our technologies and solutions, extending our market access, and executing thoughtful acquisitions, particularly in life sciences. Some recent examples of new products include, our new Ultrapac Smart Dryer for Compressed Air Process Filtration, an upgrade to our iCue Connected Filtration Service, which now comes standard on many of our Industrial Dust Collectors and over time, will provide recurring revenue.  The expansion of our Filter Minder real-time monitoring service to engine liquid filtration in addition to air filtration and our Rugged Pleat Baghouse industrial dust collector that we introduced in first quarter, which is already on pace to generate two times our initial first year forecasted sales. We had a solid roadmap and a pipeline of potential opportunities in life sciences.  While I can’t comment on when or if the deal might happen, I can say I am very encouraged by the work the life sciences business development team is doing. They have increased our understanding of the life sciences market and improved our strategic focus in that area. We have the right people in place to execute our strategy. We continue to maintain a strong balance sheet and discipline on our capital deployment, which positions us well to make acquisitions that will expand our markets, increase our margins over time and allow us to further leverage our filtration technology expertise.  We have the ability to continue to invest in organic growth to extend our market reach, increase market share and maintain our market leadership positions. This is a very exciting time for Donaldson and I look forward to sharing our successes with you. Before I close, I want to again thank our employees around the world for their continued dedication to Donaldson each other and our customers to meet our goal of advancing filtration for a cleaner world. Now I will turn the call back to the operator to open the line for questions. 
Operator: [Operator Instructions] First question comes from the line of Bryan Blair with Oppenheimer. Your line is open.
Bryan Blair : Thanks. Good morning, guys.
Tod Carpenter : Good morning, Bryan.
Bryan Blair : Really strong momentum, overall for the most part in the quarter. Definitely encouraging to see growth accelerate in IFS. And Tod, you mentioned kind of the mentality shifts in the markets from break and fix to replace to now more of an investment cycle at least the early stages of one. I was wondering if you could parse out replacement first - first-fit growth rates in the quarter or order rates going into your fourth quarter. Any color there would be very helpful.
Tod Carpenter : Sure. So, typically, that business runs at about 40% replacement parts and 60% on the first-fit cycle and so we are starting – that had shifted during the pandemic, almost reversed itself and so now we start to see that first-fit bounce starting to happen with momentum carrying forward. First with replacement parts bouncing so we see strong replacement parts orders led by U.S., as well as Western Europe and now especially with our new products that we have – bottom-line within Q1 this year, we really start to see the momentum on our first-fit picking up quite nicely. We also see a reduction in quote – the order cycle.
Bryan Blair : Understood. Okay. And as we look across your businesses, you noted increasing backlog entering the fourth quarter expecting momentum into the first half of your fiscal 2022. But as you think about the related moving parts, how does your team look at underlying demand inflection versus the pull-forward of shipments, based on your own pricing actions, general supply chain uncertainties et cetera? I was trying to get a sense of - I guess, that mosaic as we look out the next couple of quarters.
Tod Carpenter : Yes. It’s good. If we step and look at the macro - step back look at the macro, we’ve seen overall our backlogs increasing through the quarter and that also continued as we turn to paint in the fourth quarter. We see – if you just take an important data point, which is our Indian aftermarket business and you look at the aftermarket OE versus the aftermarket independent channel, the growth within those two pieces of our company was roughly equal.  And so, therefore, we see everything as a pull-through-based demand taking place within the corporation. We have not really begun to see the stocking event happen. That still lies ahead of us that has evidenced by the growing backlog that we have.
Bryan Blair : That’s very helpful. And last one for me if I can. Any additional details you can offer on any major supply chain challenges that you’ve faced in the quarter was anticipated in your fiscal Q4? And on that front if you could describe how your capacity investments and the scale that you now have and the efficiencies that you now have - have a larger team to manage the unique environment we are in and meet surging demand relative to what you faced in the run up for fiscal 2018?
Tod Carpenter : Sure. As you remember, we were talking three years ago or so that we were going to accelerate investments backing capacity expansion as a corporation and we made that strategic thrust to do so much as our competitors more stood path so to speak within that last ramp up, that is paying quite dividend, wonderful dividends to us right now.  Clearly, we’ve got that strategic decision correct. It is the reason why we have good sales momentum. We were telling that our capacity utilization rates right now in the Engine business are roughly in the mid 80s and the Industrial business are in the 70s. So we have room to run.  However, we would also say the supply chain challenges within the quarter and that we see progressing or really continuing into the fourth quarter have been significant. Now that said, I would tell you that our operations teams worldwide are doing absolutely a stellar job. We feel comfortable that we are out executing our competition and we hear that through our customer feedback, pretty consistent basis.  We do have supply chain challenges still remaining with the most notable being the Texas storm, the four day event that happened earlier in this calendar year still presenting force majeure on us for some of the raw material base. We look at those force majeure to start to abate within the fourth quarter, some may go into the first quarter of next fiscal year. But we are continuing to work through those.  We do see those challenges, kind of holding us back a bit in the fourth quarter should they abate a little bit better. And again, our supply chain teams are really doing absolutely - work, just really exemplary of what’s taken place, should they start to abate a little quicker, we do see that we can have a better outcome than it is currently envisioned.
Bryan Blair : Okay, again helpful detail. Thanks again guys.
Operator: Okay. Next question comes from the line of Nathan Jones with Stifel. Your line is open.
Nathan Jones : Good morning, everyone.
Tod Carpenter : Hi, Nathan. Good morning.
Nathan Jones : I am going to say what I can do on a 2022 question here. If I go back to your 2018 Analyst Day, the target revenue for 2021, which will give you a path on not hitting - of hit COVID with $3 billion to $3.3 billion. Current revenue trends looks like you’ll be kind of around the middle of that range, somewhere next year and you had a 15% to 15.8% operating margin target on that revenue.  Is there any reason why is that the kind of revenue range that you are in that you can’t get to that 15%, 15.8% operating margin? Or are the price cost dynamics and things going on around that at the moment, maybe negate you being able to get to quite that level next year?
Scott Robinson : Yes. Hi, Nathan. This is Scott. So, if you take the midpoint of our guidance, sales finished for this year. It would take about a 6% growth to hit the low-end of the range of the target. And so, we could likely get to the low end of that range on a 6% revenue growth in FY 2022. So that’s clearly insight for FY 2022.  In terms of operating margin, you saw that we had maintained the guidance of 13.8% to 14.2%, because of some of the supply chain and the input cost challenges that we’ve noted the guidance in the Investor Day targets was 15% to 15.8%. So that would be a 100 basis point improvement over a two year period. And so that would be a pretty significant growth.  I think we could get in that vicinity, but probably still a little bit below that range. So, probably sort of reasonable to get into the revenue range and probably around the operating margin range.
Nathan Jones : Fair enough. That’s helpful. Maybe a question on price cost here, you guys had some fixed price contracts particularly the OEM engine side and have to balance obtaining pricing with driving customers towards more of your proprietary products that generate better revenue and better retention overtime. I got a hint on today’s comments that you are maybe being a little more aggressive with pricing this time around than you were in 2018, which is reasonable.  We’ve got significantly more inflation. Can you talk about how you are balancing those two things and if you are being a little more aggressive on pricing this got around?
Tod Carpenter : Sure, Nathan. This is Tod. So if you just split our company into that OE first-fit side, which is 35% of revenue, 65% on that replacement parts or project-based activities, you are right, on the 65% of the corporation we are being aggressive. There are pricing activities in flight everywhere in the call as we speak. We will start to see those coming early next fiscal year. They will be in effect.  I do want to caution though that we do have to work through some backlogs to see the new pricing actually take effect and then start to leverage, right. But we are being more aggressive with the pricing, so to say, mid-single-digit to low-double-digit based increases dependent upon the business. With regards to the OE side of things, the OE-based conversations with the bumps of as much as 50% of business expansion on the OE side has really taken all the energy of both our customers, as well as us to coordinate more of the demand satisfaction, if you will, rather than the pricing conversation. Some pricing conversations are happening and you are right.  They are absolutely more aggressive than they have been in the past and it is a better environment than perhaps we’ve ever felt on the OE side relative to being able to enact pricing actions. But as you know, and as we’ve talked about many times, they’ll likely stretch out longer than the options that we have in flight with regards to that 65% of our corporation.
Nathan Jones : Great. Thanks for the call, Tod. I’ll pass it along.
Operator: Okay. We have our next question from Richard Eastman with Baird. Your line is open.
Richard Eastman : Yes, thank you and thanks for the question. Just to pick up on that, Scott, just to pick up on the last question there. Was the price cost positive or negative in the quarter?
Scott Robinson : Well, we were able to increase our margin. So, all things being considered, it was positive. There is a lot of pluses and minuses going on in there, right? We have price is obviously a benefit, mix is a headwind, commodities are obviously a headwind, freight is obviously a headwind. We talked about the bonus increase being a headwind and then you get a big benefit from leverage.  So, there is a lot of pieces in there that make the margin probably a bit more complicated than typical. But we were pleased that we were able to continue to drive up the margins for the company on increasing sales. But there is a lot in the soup there as you can see.
Richard Eastman : Yes, yes. And just to clarify your comments, Scott, I think you made an – for us Tod, but as we roll into the first half of 2022, your comment was the first half of 2022 would be a greater percentage of the full year revenue than was the first half of 2021. Is that what you are saying?
Scott Robinson : That is correct. If you take the midpoint of our guidance, this year, we are 46% in the first half and 54% in the second half. So that’s a pretty big difference for us. Generally, we are a bit closer to even and so we expect the momentum that we are seeing this – towards the end of the year to continue into next year. But we don’t think that kind of 50% growth rates in Off-Road kind of momentum can continue for a extended period of time.  So we’ve seen it reversing next year. So, we want to help with your models in that. Those percentages will probably flip next year, because the momentum will be strong and it will be harder to keep growing sequentially to keep those kind of percentages continuing.
Richard Eastman : Yes. Understood. And Tod, just maybe to build off of that point, when you look at build slots as for the OEs both on the Off-Road and on the On-Road side, we are hearing a lot about the build slots for the next 12 to 18 months being pretty full. Maybe just your thoughts around how that may or may not impact that number that Scott just referenced, but your sales outlook on the OE side, is it being constrained by your customers’ supply chain issues, as well as the forecast looking like maybe build slots are getting pretty tight?
Tod Carpenter : Yes. Thanks Rick. So, as you really look at back at our business and where we are in backlogs, clearly, the On-Road sector is really seeing a quite a nice bump. The Off-Road sector and the first-fit is also seen a bump but the level of jump on the On-Road sector is really quite impressive year-over-year as they are just looking to build more trucks as we turn into F 2022.  But really, all they are doing is getting back to 2019 based levels, maybe a little bit above that. So we’ve been able to satisfy that base requirement during that timeframe and we have since that time additional capacity expansion online.  So what we really need to do to be able to get the necessary bump and take care of our customers is, is get past the mostly raw material-based shortages that we have been seeing and really continue working hard on the supply chain activities, because our capacity is there.  And so, once we get past the raw material portion, then it becomes a people-based conversation in the United States and can we get more additional personnel into our manufacturing plants. Other parts of the world, Latin America, Western Europe, we are absolutely fine. And even in China we are doing really quite well there. And so, that will likely become a little bit of the U.S.-based story as you have been hearing in the news. We are not immune to some of those conversations.
Richard Eastman : Okay. Okay. And just – and sorry, one last thing. And just from your comments around the Analyst Day plan, some of your comments here around raw materials pricing, when you put this all in the bucket and shake it up, it does sound like the expectations going into fiscal 2022 are still somewhere around this 100 BPS of op margin leverage with all the levers being pulled and pushed. Is that’s still just a realistic starting spot assumption for op profit in 2022?
Scott Robinson : Yes. So, we are working hard through our plan right now. Our FP&A team is faced with a very dynamic environment. 
Richard Eastman : Sure. 
Scott Robinson : In doing an excellent job keeping track of things. And so, back to the FY, the targets that were in the Investor Day, so we had a 15% with the low-end of the range and as you point out our current range is 14% at the midpoint. And so, I would view that more as a two year journey versus a one year journey. I mean, we are committed to increasing levels of profitability on increasing sales.  And we think we can do that while continuing to invest in our growth initiatives. So we want to continue to push money into the places that have good growth opportunities. And so, I would look at that journey, more of a two year step and I think you might have been looking at it more as a one year step.
Richard Eastman : Okay. With incentive - one more lever with investment you are suggesting, 50 BPS would be the better 2022 target. But that’s what you are implying to?
Scott Robinson : Yes. I mean, we have to finish our plan and we’ll give you a detailed guidance in - at the end of Q4 here. But, I look at it more as a two year journey.
Richard Eastman : Yes. I understand. Okay, excellent and thank you. And it’s great to see the volumes return.
Tod Carpenter: Thanks, Richard. 
Scott Robinson : Thanks, Richard.
Operator: Okay, next question, we have the line of Brian Drab with William Blair. Your line is open.
Brian Drab : Hey. Good morning. Thank you for taking my question.
Scott Robinson : Good morning, Brian. 
Tod Carpenter : Good morning, Brian.
Brian Drab : First one, just - hi. So, a specific question, just on the cost that you are seeing this year for the full year of fiscal 2021 as a result of supply chain issues, input costs and freight just with the thought that these are temporary. I know you said clearly some of this will trail into fiscal 2022. But I am just trying to gauge the magnitude of a potential gross margin tailwind in fiscal 2022 relative to 2021 with all of these unusual items that are happening this year?
Scott Robinson : Yes, so, I mean, this – it’s just - like I said, it’s kind of a dynamic environment to predict where some of these input costs will go and will they come back down and when will they come back down. So we are expecting obviously pressure in the fourth quarter and into next year. And so, our raw materials and our freight are going to be pressured, and so we’ll have to see where that goes and where we want to kind of cap the final plan assumptions.  And so, right now I don’t know if I can predict whether there is a headwind or a tailwind, I would predict, for sure, there is a headwind in the first part of next year and then the big question is, right, when will the cost start to abate or will they abate and when will that happen? And how will that flow through our results?  So we want to get a bit smarter with a matter of 90 days. So, again, the big pieces will be raw materials and freight, it will certainly start-off as a headwind. We have a 25th $5 million incentive comp tailwind that we’ll get because we can reset bonuses. So that will obviously bring us some relief against those first two items I mentioned. And then, we’ll expect to get continued leverage on increasing sales.  So, those are the big pieces that will go into our calculus on the plan. And I promise to come back to you at the end of the fourth quarter with some more specifics in that regard.
Tod Carpenter : Yes, Brian, it’s Tod. I’d just add a little bit of color and tell you that we are laser-focused on the issue, laser-focused on the math and also the commodity-based spreadsheets that we have in order to be able to put pricing actions in flight and that is consuming our energy these days across the organization in order to make sure we can press forward.  Like Scott says, the more difficult piece to predict is the back half of next fiscal year. And so, therefore, we’ll be smarter in about 90 days and really update the full year picture.
Brian Drab : Okay, got it. Thank you. And then, one more question. I just want to understand, what you are thinking for the fourth quarter here. Industrial sales were up 8% sequentially and Engine sales are up 15% sequentially in the third quarter. But the full year guide implies the sequential downtick slightly in Engine and about flat in Industrial. I am just wondering why that’s not conservative in this environment and also fourth quarter historically is up seasonally, isn’t it?
Scott Robinson : Yes, historically, our fourth quarter would be up just slightly and so, as you know, we are kind of in more in the flat but just barely down in the fourth quarter with the current guidance. So we are really focused on the supply chain issues that are there, that’s governing how fast we can run the plants and our operations team is doing an excellent job of securing all the materials they can get their hands on to build as many filters as we can get and get them out the door.  We have May in hand for the most part. May was a little bit softer than the current runrate and we expect June and July will pick up. And so, therefore we wanted to take what we thought was a reasonable posture with regard to a Q4 with even being generally in that flattish area, we will still be up 25% over the last year and pretty consistent with this third quarter, which was a really big quarter for the company.  In fact, our biggest quarter in our company’s history. So, we wanted to keep that in mind as we look at the fourth quarter.
Tod Carpenter : Yes, Brian, this is Tod, maybe a little bit more color. I would tell you this is not an incoming order question. This is not our ability to execute inside of manufacturing plants-based question. This is a raw materials input question and also really the supply chain issues and challenges that we continue to work through. We are really proud of the way that we are executing in the moment, but that is the question that still remains couldn’t get even more than our current record that we just set in third quarter.
Brian Drab : Got it. Thanks for that color and congrats on the record quarter.
Tod Carpenter : Thanks Brian.
Operator: Thank you. Next question comes from the line of Laurence Alexander with Jefferies. Your line is open.
Dan Rizzo : Good morning. It’s Dan Rizzo on for Laurence. Thank you for taking my questions. You mentioned that the capital projects were coming to an end and CapEx is a bit lower. I was wondering, as we look out over the next two or three years, which is what processes for additional capital projects, are you comfortable with where you are? Or I mean, are you looking at more expansions or what?
Scott Robinson : Yes. So, that’s a good question. So, we’ve said for the last several quarters that our CapEx is going to come down this year as we really focus on completion of many of the large-scale projects that we have undertaken. And so, we are very pleased to be bringing these projects to completion and beginning to get the return out of those projects that we always expected.  And so, this year we spent more time kind of fine-tuning in completing projects and really buying new equipment. And we said that that would happen and that next year, we would expect to return to a more normal level. So our CapEx is clearly going to go up from this year, probably back to more along the lines of our historical average. If you look in the Investor Day, it seems like people have the Investor Day book out, you’ll see there is a slide in there that shows our long-term history and then projected an increase for a short period of time. And we would expect to be down from the big years that we’ve had and more in line with what we’ve done in the past.  So, you can take a 2.5% to 3% of sales is kind of a reasonable range for us. If we can find projects that are bigger that have a good return, we’ll always be willing to execute on those projects. We want to be good stewards of capital. But we want to deploy capital to help increase the capital invested and how to increase the return on capital invested. So we look at that as part of our planning process. But maybe in short, it will go up from this year.
Dan Rizzo : That’s very helpful. And then, just one other question, you mentioned obviously improving profitability is a focus, I was wondering if there is still areas where you could do some bottom slicing or discontinuing certain sales products or just areas where you would be removing things just to improve overall profitability that would maybe be a sales headwind?
Scott Robinson : Yes. So, I mean, I think our – we talked for years about our Oracle implementation that we completed about four years ago. And our finance team and our IT team have done excellent work to improve the visibility and information we get out of this system, such that we have much more granular information at a product level.  And so, I think our business units have been doing an excellent job looking at their product level or profitability, by part, by region. And so, we can give them reports that show their weakest products or projects, and then they can begin to focus on those by either deemphasizing the product and/or increasing the prices on those products.  So, I would say that that’s something we work on a daily basis and our finance people I think are doing a good job helping identify those opportunities instead of growing revenue and improving the profitability on your existing revenue. So, I would say we’re doing that and we still have room to improve. But that’s something we will definitely continue to focus on.
Dan Rizzo : Okay. Thank you very much.
Operator: Thank you. Our next question we have Dillon Cumming with Morgan Stanley.
Dillon Cumming : Hey. Good morning guys. Thanks for the question. I want to go back to the 
Tod Carpenter : Good morning, Dillon.
Dillon Cumming : Good morning Tod. Just wanted to go back to the kind of commentary around the restocking. I guess, you kind of a alluded to this in your earlier comments, but your sense is kind of that the supply chain is not in a position to kind of meet the demands of a restock and I said, I guess if I am looking at the production rate that you early partners.  And then, your commentary about utilization in the aftermarket channel. I mean, that’s amazing kind of should be suggesting a more meaningful restocking at this point in the cycle. So, is it a question that we can produce to that and do you kind of expect to see that more meaningfully as we look into the next year?
Tod Carpenter : I think you handicapped that very well.
Dillon Cumming : Okay, got it. And maybe just kind of along the same lines, I was kind of piggyback on the next question. But you kind of laid out some of the commentary around the capacity investments. You clearly feel like you are kind of well aligned for the next - I should say, cycle here. But I guess, taking a step back when you look at where inventories are relative to sort of where - your kind of customers and within the independent distribution channel and you kind of see that utilization in the production trends that are materializing more recently.  What is your view of this kind of current industrial upcycle maybe versus the one you saw in 2017 and 2018? I mean, are you expecting this could be a three to four year cycle versus the kind of 2% and 2.5% that we saw over the 2017, 2018 period?
Scott Robinson : Yes. It’s a great question. So, we take a look at that and debated it internally as well. Clearly, we think it’s a multi-year cycle for sure, because of the fact that if you just look at Ag, we are probably early cycle on Ag. If you look at mining, mining is frankly just waking up compared to its hay day. Construction might be early late cycle.  However, if we do get an infrastructure build, then overall utilization goes up across the country. And so consequently, that probably then goes mid cycle, because we should see a bump and a pickup from that. Overall truck rate production, they are not building yet at the level that they were, I’d say 350,000 trucks, sure they have the orders.  But they are not being kicked out at this point in time. So we see a lift there that is going to be a multi-year lift. And then on the Industrial side what we just talked about as a result of the OE-based demand that we have that’s when CapEx starts to flow real well and bodes well for our project-based Industrial businesses.  So we overall, when we step back and we look at our corporation, we do see this as a multi-year uptick and we look to be in a position based upon the capacity investments that we’ve made across our corporation and the strategic choices to invest in our people. And really protect our foundation of our corporation long-term throughout the pandemic as really excellent strategic choices that will be paying dividends for our company for this multi-year cycle for sure.
Dillon Cumming : Got it. Okay. That’s really helpful color. And maybe just one last one and I wrap it up. I wanted to go back to your commentary on some of On-Road in particular, I think you were calling out higher build rates in China and kind of an increase in revenues there just with the On-Road business. I guess, some of that surprising to me, because maybe make some of the more recent market dynamics stemming out of there suggest that that market seems to be rolling over a bit.  I mean, obviously you’ve had a lot of share gain there with the past few years. So I guess, do you feel like that level of – of that outperformance is just bit more reflective of some of those share gain efforts? Or that’s kind of filling out that end-market for you guys?
Tod Carpenter : Yes. We do believe that we can outperform the market within China, but please remember, we are coming from a low share. And so we were low-single-digits and so the number in percentages look pretty wonderful. But that also gets us say, to a mid single-digit share. And so, we have some wonderful runway ahead of us.  And the share gains that we’re winning on the first-fit production does see us have capacity expansion in China to be able to meet our region for region based manufacturing strategy going forward. But we do expect to outperform the growth rates within the China-based markets, just simply because of the share gains that we have, but also because, frankly the comps are a little easier.
Dillon Cumming : Sure. Okay. Got it. Thanks for the time guys.
Operator: There are no further questions.
Tod Carpenter : Thanks, Brian. So, that concludes today’s call. I want to thank everyone listening for your time and interest in Donaldson Company. Good bye.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.